Operator: Good day, and welcome to the Tantalus Systems Third Quarter 2025 Financial Results Conference Call. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Deborah Honig, Investor Relations. Please go ahead.
Deborah Honig: Thank you, operator. Thank you for joining us to discuss Tantalus Systems' financial results and operating performance for the 3-month and 9-month periods ended September 30, 2025. Tantalus issued these results, including their financial statements, management's discussion and analysis and press release yesterday after market close, which are also posted on the company's website. Joining me today on the call from Tantalus Systems, herein referred to as Tantalus or the company are Peter Londa, President and Chief Executive Officer; and Azim Lalani, Chief Financial Officer. During the call, we will make forward-looking statements about Tantalus' business. These statements are subject to certain risks and uncertainties, which could cause actual results to differ materially. Tantalus refers conference call participants either today or in the future to the company's forward-looking statements contained in the investor presentation on our website at www.tantalus.com. Statements made on this call reflect management's analysis as of today, November 13, 2025. Management does not assume any responsibility or obligation to update forward-looking statements made during this conference call unless required by law. Please note that the financial information referenced on today's call is stated in U.S. dollars and in accordance with IFRS, unless otherwise stated. The company is also presenting selected non-IFRS financial measures, including gross profit, gross profit margin, EBITDA, adjusted EBITDA, adjusted EBITDA margin, recurring revenue and annual recurring revenue referred to as ARR. Tantalus believes these non-IFRS measures provide meaningful information to investors. However, they do not have a standardized meaning and are not likely comparable to similar measures presented by other issuers. We'll now turn the call over to Peter Londa, President and CEO. Please go ahead, Pete.
Peter Londa: Thank you, Deborah. Good morning, everyone. On behalf of our Board of Directors and employees, Azim and I are pleased to provide a business update through September 30, 2025. I'd like to commence today's comments by thanking the entire team at Tantalus for their contributions in delivering another quarter of milestone achievements and record financial results. The progress we continue to make on behalf of our shareholders is a testament to their hard work and dedication to our company, our customers, our shareholders and to each other. Based on the results we issued yesterday, we remain optimistic about the trajectory of Tantalus. To highlight a few items that Azim will address in more detail. Our team set new high watermarks for revenue generated in the third quarter of the year, revenue generated over a trailing 12-month period and orders converted out of our sales pipeline. The favorable financial and commercial results are a function of the urgency we are witnessing from utilities to modernize the distribution grid, particularly within the public power and electric cooperative market segment. The need to upgrade the distribution grid remains paramount as utilities struggle to improve resiliency and reliability, while simultaneously addressing affordability and accessibility. From our perspective, Tantalus’ data-centric approach is resonating with utilities that are seeking to prioritize their investments to address specific outcomes while also extending the life of existing infrastructure. Our ability to meet utilities where they are and provide them with the flexibility to go at their own pace has put Tantalus in an excellent position to gain market share and expand our user community. In the interest of time, I'll turn it over to Azim to walk through financial results in more detail and then provide a few additional operating updates before taking questions. Go ahead, Azim.
Azim Lalani: Thank you, Pete. Good morning, everyone. I would like to remind everyone that we report our results in U.S. dollars. The company increased revenue to $14.2 million, reflecting 22.5% growth year-over-year. Revenue from our Connected Devices and Infrastructure segment increased by $2.2 million or 30% and revenue from our utility software Applications and Services segment increased by $500,000 or 10%. The increases in revenue are a result of higher sales volumes to our existing customers and the conversion of new utility customers that are commencing projects with Tantalus. Recurring revenue recognized in Q3 increased to $3.4 million and represented 24% of total revenue in the quarter. As an aside, our annual recurring revenue, which we report on a rolling 12-month basis, grew by over 11% year-over-year and now stands at $13.5 million. This is a high watermark for us and demonstrates that recurring revenue continues to scale. The company delivered another strong quarter of gross profit margin at 55%. Margins within our Connected Devices segment increased as lower provisions for customer accommodations, warranty and inventory obsolescence were recorded in the current period compared to last year. The gross profit margin in this segment includes the impact of tariff-related expenses. If you recall, Tariff decided -- sorry, excuse me, Tantalus decided to absorb 5% of tariff-related charges in partnership with our customers. Our Software and Services segment delivered gross profit margin of 74%. It should also be noted that our Software and Services segment is not impacted by tariffs. The slight decline over the prior period in this segment was due to a higher amount of revenue generated from installation services during the quarter. As a reminder, we offer installation services through third-party partners when a utility needs additional support to deploy our connected devices in the field. The company generated net income for the period of $384,000, reflecting an improvement on a comparative basis from the prior year period when we generated a loss of $361,000. The positive net income translated into a diluted income per share of $0.01, which compares to a diluted loss per share of $0.01 last year. We delivered positive adjusted EBITDA of $1.2 million during the quarter, reflecting an improvement compared to $585,000 in the prior year. The improvement in positive adjusted EBITDA is a result of strong revenue growth, resilient margins and disciplined cost management. We used $1.3 million of cash flow from operations with year-over-year changes resulting from changes in working capital balances. The working capital changes were offset by higher operating income. As at September 30, 2025, Tantalus had available liquidity of approximately $18.3 million, consisting of $9.8 million in cash and full borrowing availability of $8.5 million under our revolving line of credit facility. The company's operating expenses increased during Q3 2025, as a result of continued investments in sales and marketing and G&A to drive commercialization of the TRUSense Gateway. In addition, there was a reallocation of personnel-related costs for our customer operations team from the research and development category to our sales and marketing category. We believe this reallocation properly aligns to our internal reporting and oversight of the customer operations team. Based on the favorable results so far in 2025, we hit several new milestones on a trailing 12-month basis. including our revenue, which hit approximately $52 million compared to $42 million at September 30, 2024. The strong growth on a comparative basis from the trailing 12-month period from a year ago is a reflection of the continued momentum in our market segment and the urgency with which utilities are upgrading their distribution grids. Recurring revenue generated over the trailing 12-month period was also a record for the company at $12.7 million or 25% of total revenues. The aggregate growth of recurring revenue is a function of our business model and tied to the deployment of connected devices that lead to the activation of software licenses and opportunities to deliver analytics for as long as the devices are in the field, which is typically between 12 to 15 years. Gross profit margins remained strong at 54%. The continued strength of our margins is tied to the revenue contribution from software and services. We delivered positive adjusted EBITDA of $3.5 million, reflecting an adjusted EBITDA margin of 6.7% over the trailing 12-month period. As previously stated, the improving performance of adjusted EBITDA is tied to strong revenue growth and the completion of our research and development efforts to deliver the TRUSense Gateway. As we transition into the commercialization phase, our model affords us the flexibility to invest in sales and marketing as well as advancements in our predictive AI-enabled data analytics offerings. Beyond the reported numbers, I thought it would be helpful to reference that approximately 88% of our revenue generated in the quarter came from existing customers. This reflects our strong visibility with our existing customer base while improving our ability to convert and drive growth from new customers. Overall, we witnessed a very strong quarter and continue to make progress towards our objectives for 2025. I'll now turn it back over to Pete to address a few remaining topics. Pete?
Peter Londa: Thanks, Azim. As referenced, we continue to absorb 5% of tariffs on our connected devices that are manufactured in the Philippines. The feedback we're gathering from our customers in absorbing that 5% validates the value and importance of our approach, particularly as we seek to invest in long-term relationships with each utility. While we have not witnessed a slowdown in our deployments or a change in the urgency across our market segment to modernize the distribution grid, we are mindful that higher prices resulting from tariffs may eventually impact the pace at which utilities deploy technology and/or allocate their investments across the distribution grid. To the extent we begin to witness a slowdown in activity or extended deployments, we'll adjust our plans accordingly. Despite the impact tariffs may have on overall economic conditions and investments in the electric grid, we see the pressure from tariffs as a means to further differentiate Tantalus given our commitment and technical capability to support reverse compatibility and support multiple protocols from a variety of devices already in the field. Our data-centric approach and commitment to support reverse compatibility is geared to maximizing the value of existing infrastructure. We believe that message is resonating with utilities and provides utilities with incremental flexibility as they allocate dollars. As some utilities may need to pause efforts to rip and replace metering infrastructure or other assets, the ability to surgically pinpoint the most vulnerable sections of the distribution grid and extend the life of existing assets with Tantalus' technology is critical. At the core, our approach helps utilities achieve the most valuable outcomes with the most relevant insights no matter where the underlying data comes from. We refer to this as unified intelligence across the distribution grid, which covers data and integrates data from the substation all the way to intelligent and controllable devices located behind the meter. Our approach is unique relative to other vendors in our sector and one that is translating into continued growth of our business. I believe this approach directly correlates to the record results we delivered on conversions from our sales pipeline through the first 9 months of this year and a very strong book-to-bill ratio of 1.37x. To that end, our commercial team has set a new record for our organization through the first 9 months of 2025 by converting $54 million in orders. Not only have our orders grown by almost 35% over the prior 9-month period, but the $54 million in orders is also the highest amount Tantalus has ever converted during an entire calendar year, and we still have the fourth quarter to convert additional opportunities from our pipeline as we begin to turn our attention to 2026 planning. Bolstering the commercial progress and conversion of opportunities out of our pipeline, I am pleased to share that the number of utilities placing orders for the TRUSense Gateway expanded to 52 as of September 30. This is up from 45 utilities that we reported as part of our Q2 results and far surpasses our internal estimates for 2025. We're witnessing strong interest from existing customers that are focused on deploying the TRUSense Gateway to expand and accelerate their grid modernization journeys with Tantalus. For existing customers, the TRUSense Gateway is a path to upgrade their communications network by leveraging fiber or cellular, coupled with the gateway's ability to serve as a collector. Power quality measurement and analysis is also a high priority for our existing customers, particularly as they look to protect transformers and other critical infrastructure deployed across the distribution grid. It is our view that our existing customer base will lead the way in deploying the TRUSense Gateway, providing us with an increasing number of use cases that can be shared across the industry in the coming months. With respect to utilities that are new to Tantalus, the flexibility of the TRUSense Gateway and its ability to support multiple use cases is a clear point of differentiation from our competition. We are witnessing the inclusion of the TRUSense Gateway in many of our new deployments, which is a key component of a utility decision-making process when evaluating vendors in a competitive dynamic. While the primary use cases that supports a utility's decision to include and deploy the TRUSense Gateway may vary, we're witnessing interest in all aspects of the gateway's capabilities. The ability to optimize asset management by upgrading legacy metering infrastructure without having to rip and replace those meters is gaining momentum. The ability to access power quality measurement at a level that has not been available at the electric meter socket previously is getting the attention of every utility we speak to. The anticipated need to manage and control load as power capacity constraints materialize in various regions of the United States and Canada sets us up for extended growth as we think about leveraging all aspects of the TRUSense Gateway and its behind-the-meter capabilities. The ongoing rollout of the TRUSense Gateway is on schedule and continues to gain momentum as we plan for year-end in 2026. In summary, we are extremely pleased with the progress that our team has made through the first 9 months of 2025, and we continue to see favorable conditions to support our growth trajectory moving forward. With that, operator, we can open up for questions. Thank you.
Operator: [Operator Instructions]. The first question comes from Nick Boychuk from Cormark.
Nicholas Boychuk: You mentioned the strong conversions and adds to the pipeline of utilities who are demoing and piloting the TRUSense up to. A lot of those though have now been in the pipe for a little while. I'm curious if you can add a little bit of color on the staging and breakdown of those that are early, mid or advanced and what you're seeing in terms of feedback of them converting now into commercial orders?
Peter Londa: Yes, Nick, thanks for the question. I'd say at a high level, the scaling of utilities placing orders is coming both from our existing customer base as well as new utilities that have been evaluating Tantalus for our TRUConnect AMI capabilities. Where there's a nuance there, Nick, is on the new utilities or new to Tantalus. We have some circumstances where we have been pursuing a sales process for an extended period of time and now able to also incorporate the TRUSense Gateway as a part of our solution or design and capabilities. I'd say, from my perspective, the ability to include the TRUSense Gateway, especially now that we have devices in the field and an increasing number of utilities deploying, it adds not only credibility to the capabilities, but also an example of how we can provide as much flexibility to a utility when they're really trying to think through where to prioritize their investments and what to do first. It's a little hard to specifically disaggregate relative to the question that you've asked. I'd say, we continue to have -- it's not a precise percentage, but of the 52%, 70-ish percent of those utilities are existing customers, meaning utilities that have already fully deployed and/or are migrating to new capabilities, about 30% of those utilities, it's not exactly, 30%, but that ratio still applies from a few months ago of utilities that are buying something from Tantalus for the first time. I hope I've answered your question.
Nicholas Boychuk: Yes. I guess I'll kind of take it in a different way. Given that you do have some new utilities to the Tantalus ecosystem, is it fair to assume that budget either constraints or time, are impacting some of these decisions? If you've gone to a new utility now and now proposed an additional solution that includes the TRUSense and so it's more encompassing, are they reviewing their entire budgetary process and maybe going to wait for the calendar to flip in order to place that order?
Peter Londa: We have not seen that, Nick. No, I'd say the -- we haven't seen the inclusion of the TRUSense Gateway either in a sales process where we're pursuing an opportunity in an unsolicited manner, meaning no RFP or responding to an RFP that's in the market with the TRUSense Gateway. We have not seen the inclusion of the gateway necessarily push out decision-making or change budgeting process. Example, in many circumstances, we are using the TRUSense Gateway not only as an edge device, but also a collector, and so what it's doing is it's modifying the approach and the system design on the communications network relative to other collectors that we may put in the field or repeaters, but it's not impacting, I think, timing of decision. I'd say, if anything, I think we're seeing some utilities move a little faster as a result to try to get access to the device and get it into the field, access the data and from there, prioritize other investments that they may be looking that go outside of what Tantalus does.
Nicholas Boychuk: Now you mentioned that a lot of these utilities, 30% of them are brand new to the Tantalus ecosystem. Are you able to quantify how much of an impact your increased spend in sales and marketing has had on that? Or are those 30% more word of mouth and you're expecting that investment in sales and marketing to have an even greater impact in bringing new firms into your ecosystem?
Peter Londa: Yes. The investment in sales and marketing is twofold, Nick. Some of it's headcount. I'd say the additions certainly in a new role for Tantalus, business development, senior business development managers that are professionals that we've been able to add to our team. I'd say the ramp-up for new hires in a business development capacity or regional sales manager capacity, it takes time before they can hit the ground sprinting with some of the opportunities already in the pipeline, but building out the pipeline, building up their messaging, accessing their network, getting in front of customers, that takes time. I'd say the conversion -- the increase in orders year-to-date and the increase in the number of utilities that are placing orders for the TRUSense Gateway is a combination of word of mouth and I'd say some marketing collateral. We are certainly starting to see acceleration with the additional headcount, but I think there is more velocity on a per person basis as our investments in headcount for sales and marketing really get acclimated into the organization and really start firing on all cylinders. Our hope is we can accelerate further based on the investments that have been made.
Nicholas Boychuk: Then last one for me, just on the legacy business. Thinking about the Riverside deal that was announced last quarter, are you seeing any change in the organic growth within that legacy hardware area? Or are we still comfortably in that 10% to 15% year-over-year kind of volume range?
Peter Londa: Yes. I think, Nick, I'd say we haven't seen anything change. We're fortunate. We've got a robust and substantive user community that are at a variety of different stages of their grid modernization journey with Tantalus. Riverside, a great example of the utility that started with us years ago and wanted to maximize the life and return on some legacy infrastructure that we were able to support without a full rip and replace. Then as their budget dollars became available and as they prioritized investment, it's now where they are migrating their entire infrastructure to advanced capabilities with us. There are a number of utilities within our user community similar to Riverside that started with us on what we refer to as our ERT overlay capabilities, meaning upgrade ballpark 20% to 30% of their metering infrastructure and then leveraging that investment to read installed legacy encoded receiver transmitters, ERs. I think there are multiple opportunities within our user community to replicate what Riverside is doing to drive that growth trajectory. I'd say it's year-over-year, it might vary a little bit. We've seen that historically, but yes, based on the opportunities within our existing customers to help upgrade and/or complete deployments and/or refresh legacy deployments, I think lends itself to a fairly attractive growth rate for the core business. We don't see any change in that, Nick.
Operator: The next question comes from Daniel Magder from Raymond James.
Daniel Magder: Congrats on a fantastic quarter. Just a couple from me here. You continue to add utilities to the user community. Are they generally coming to you with an interest in a single part of the platform? Are they evaluating multiple? Any color you can provide on that would be appreciated.
Peter Londa: Daniel, I'd say not to sidestep, but it depends. I'd say overall, if we take sort of a holistic view of it, utilities evaluate technology and Tantalus with a specific set of outcomes in mind, and so historically, it's automating metering infrastructure and/or automating the broader distribution grid. I think most utilities come to market looking to invest in a specific area. That landscape slide that we included in our investor deck is -- it's a good visual from my perspective because it demonstrates the number of entry points where we can start to activate with the utility, whether that's focused on the substation and trying to help automate some of their heavy equipment in the distribution grid to metering infrastructure to now behind-the-meter capabilities. I'd say it's still common that most utilities are focused on one specific area. As our sales organization digs in, as our commercial organization has pulled behind that, I think we're able to expand horizontally across the utility, and it is the flexibility of not only solving today's problem that might be the priority and where the dollars are being spent, but having the flexibility with a unified platform that not only supports our stuff, but also is truly driven towards interoperability with third-party capabilities. I think that's what's differentiating us and leading to an increasing success rate with utilities converting out of our pipeline.
Daniel Magder: In regards to the Gateway, I know you mentioned there's multiple use cases that utilities are evaluating. Are the individual connections tied to those use cases, whether it's per home group of homes? Or is it really just utility dependent?
Peter Londa: At this point, Daniel, it's utility dependent. I empathize on trying to model it out and what things could mean on a ratio basis or a scalability basis. What I'd say is we'll continue to evaluate and we'll continue to share information as we see additional numbers of those 52 utilities, now 52 activate and then plot out their deployments. I think that visibility will continue to improve as we get into 2026. As I think about -- nothing is viral in the utility industry, and so when we think about growth and scale, we're always mindful of the time and the deliberate nature of how utilities move forward with innovation, right? They are risk-averse animals. They just are, and so navigating the timing of that risk aversion is kind of thread the needle a little bit for us as we think about it on a quarter-to-quarter basis. But overall, I see consistency across utilities that are leveraging the TRUSense Gateway and where that consistency ties to the very granular market-leading power quality measurement capabilities. Every system operations and engineering team that I think our sales team and certainly that I've had a chance to interact with, the TRUSense Gateway resonates with them. The access to that data resonates with them. Even though we may start a process, to your first question, tied to helping upgrade a legacy PLC system or a legacy drive-by metering system, as soon as we demonstrate what the TRUSense Gateway is capable of to not only support that effort, but then also deliver power quality measurement on top of it, it's a force multiplier. For us, I like to use the expression, the TRUSense Gateway helps us demonstrate and build a communications network, which is vital for all utilities to access data from devices. It's a communications network with a purpose. This isn't just about sending and receiving data any longer. It's about actually using the communications networking capability of the TRUSense Gateway as a power quality measurement device. I think that is very unique in today's landscape. I see consistency not only with our existing customers that are looking to upgrade their networking capabilities with us with the TRUSense Gateway, but a clear path for us to differentiate ourselves against competition.
Operator: The next question comes from Gianluca Tucci from Haywood Securities.
Gianluca Tucci: Congrats on the quarter. Just at a high level, could you perhaps speak to what you're seeing in the industry from a customer perspective in adopting smart grid technologies given all the noise around the data center and AI, right now?
Peter Londa: Yes, Gianluca, and not a day goes by without something in the press about it. It's a great example of the pressure utilities are under. To avoid confusion, we're not focused in on solving the problem of a data center or the power that's needed to support a data center. Where the opportunity surfaces for Tantalus is twofold. How do we help an electric utility improve the power quality metrics of their existing distribution grid to be in a position to attract the commercial entities that are looking to establish data centers in different geographic areas. As we think about where data centers are surfacing, there's obviously real estate costs, there's construction cost. There's human capital access and hiring, but working with a utility that has high power quality and attractive rates is a big component to the decision-making process from our view of where a data center surfaces. I think we can help utilities certainly with the TRUSense Gateway and the robust capabilities around our analytics and TRUSync offering to fundamentally improve the resiliency, the reliability and the quality of their grid, improved power quality and lower rates equals economic development and an opportunity to bid for those types of investments in data centers. Secondarily, depending on the size of data centers, obviously, the largest ones get the attention in the news and there is circumstances where utilities are building dedicated substations and/or dedicated sources of power just for that data center itself. From our perspective, as you think up the chain from that and down through the broader distribution grid, it's what's the power quality to and from? How does the utility throttle peak demand as those data centers potentially create capacity constraints for them over time, and so the TRUSense Gateway, we're still working on it, but there is a long-term opportunity for us to help utilities truly control load behind the meter and use that load in an aggregated manner to shift peak load and potentially improve their reliability and delivery of power down to a data center, which is paramount. I think it's -- as you see those -- as you see data centers surface in certain regions of the U.S., it's indicative of where investment is going into the grid. I think we get the benefits of those tailwinds because the investments are really made at the distribution grid level to support those data centers. I think the power quality measurement capability of TRUSense Gateway and the analytics tools that we are deploying today and continuing to enhance and expand, I think that's where we can distinguish ourselves and put ourselves in a very good position where utilities are scrambling to try to both attract and then support those data centers.
Gianluca Tucci: Perhaps one for Azim. Just on the balance sheet, things look pretty good over there. Are you comfortable on a working capital perspective as you head into a new year here, given the expectations of a nice ramp on the TRUSense side of things? How are you feeling about the balance sheet on a working capital perspective, Azim?
Azim Lalani: Certainly, we're comfortable with a couple of things. Number one, our liquidity certainly allows us to flex the balance sheet to support development of the TRUSense Gateway. Secondly, our negative cash conversion cycle certainly provides additional support in working towards supporting TRUSense Gateway.
Operator: The next question comes from Gabriel Leung from Beacon Securities.
Gabriel Leung: Pete, I know you're currently working on your 2026 budget, but just generally speaking, given the pipeline, given the environment, how are you thinking about revenue growth for next year? Do you think you're going to be sort of in line with what you've sort of done year-to-date? Or is there an opportunity to accelerate that growth? Then concurrently, how are you thinking about sort of margins going forward? They've obviously been improving every quarter this year. How are you thinking about margins -- growing your margins versus sort of the land grab opportunity in front of you?
Peter Londa: Thanks for the forward-looking question, Gabriel. I'd say -- so the -- at a high level, I think our team is -- as you recall, we don't provide guidance looking forward, but consensus numbers for 2025, I think, remain a very good bogey for our company. I think we're comfortable as we sit here mid-November. The consensus numbers for 2026, I think, are still a very good bogey for Tantalus, both revenue and adjusted EBITDA as it's yet another strong year of growth year-on-year. I don't see us flexing that model too much or changing it, Gabe. I think our approach right wrong or indifferent, has been measured to the extent where the balance sheet is in good shape, no doubt. The liquidity is available to support our growth trajectory. We continue to try to time investment in headcount and broader investment in the company as we increasingly gain confidence in the growth profile of the revenue. That's partly conditioned on a long history at Tantalus of not having a robust balance sheet and liquidity. I'd say we're somewhat crumoginally in that capacity. With that said, as we think about 2026, the progress that we're making justifies an incremental investment in this business. When we look at on a trailing 12-month basis, to see almost 7% adjusted EBITDA start to materialize and Azim highlighted on a trailing 12-month basis, positive cash flow from operations, positive free cash flow for the business, I think we've got some flexibility to invest. Typically, investments in sales and marketing take about -- if we're really lucky, 6 months, more realistically, 12 months to start to contribute and drive incremental revenue, and so I think that's part of the process that we're going through right now as a management team and then ultimately to our Board of Directors as we think about additional investment in the operating expenses of the business. To your question on margins, the gross profit margin is certainly continues to be strong for us. I think just the nature of our model supports that, and it reflects the absorption of the 5% in tariffs at this point. I think we're fairly confident and comfortable with where gross profit is. There might be some compression over time, but I think our long-range planning remains north of 50%. The EBITDA margin is a little bit harder for us to answer. There is opportunity to expand it. We are weighing that though, relative to land grab and market share. Beyond just 2026 revenue growth, how do we start making decisions today that are going to impact 2027 and 2028. I think we're getting -- I think we'll the #1 priority for this company and #1 goal for our team is profitable and sustainable growth. I think we're at a point with operating leverage in the business and where revenue profile is that we can continue to achieve both. I don't see us getting aggressive to stretch the EBITDA margin just yet in 2026. We've shared sort of a 15%, 17.5% bogey inside this organization. I still think that's 2, 3 years out because we're going to invest in this business. It's the right thing to do relative to the opportunity that's in front of us. That's my point of view, Gabe. I'd say that obviously, we've got to run through the budgeting process and then ultimately get direction and support from our Board of Directors.
Gabriel Leung: Just as a follow-up, Pete, in your preamble, you talked about not seeing a slowdown in deployments or urgency of deployments stemming from the higher prices from the tariffs. I'm curious, is there a level where some of your utility customers may start to pause some of their investment cycle decisions? Are you getting that sense that there's some concerns around that?
Peter Londa: We haven't received that feedback. At least the feedback hasn't surfaced and been shared at our exact level from utilities. We're continuing to see robust engagement not only with our existing customers, but we're not seeing decisions with utilities evaluating new technology. We're not seeing those decisions postponed or delayed or reduced. I'd say that the urgency that we see, both existing customer base and in our sales pipeline is consistent. Some of the parameters just in supporting Tantalus or being part of our team for now over 11 years, one indicator that I start to pay attention to is as economic uncertainty surfaces, consumer spending. It just seems to be a barometer of what's happened in the middle America where a lot of the public power and electric cooperatives sit. As consumer spending drops, at least over the past decade, a few times when that's happened, it's indicative of where dollars start to get crunched and that can then impact individual's ability to pay utility bills. That then has a cascading impact on utility decision. We saw that in COVID in black and white, very clear. We haven't seen a lot of sensitivity on that. We haven't seen or heard from utilities of we need to start pushing things out or can you push shipments out or can we pay over time. We just haven't seen it. I think the urgency to upgrade the distribution grid is that the return on investment is sound. It is proven. I think utilities are looking to accelerate on it to do everything they can to bolster their communities and put their communities in the best position possible. I think that's where we sit, mindful of broader sector messages, but we still see heavy investment in what we do.
Operator: [Operator Instructions]. The next question comes from Daniel Rosenberg from Paradigm Capital.
Daniel Rosenberg: My first one comes around the fiber application of TRUSense. I was just wondering if you could share any information on progress in your go-to-market and securing pilots or working with your channel partners in that regard.
Peter Londa: Yes, Daniel, so Irby is our first and one of our key channel partners to chase after the utilities that are deploying fiber all the way to the home. It's a core competency within Irby. They have a broadband division that actually both weighs installs and then manages fiber networks. I'd say the initial progress that we made with Irby, a great example being Bolivar, which we had announced previously, [indiscernible] Tantalus fiber-to-the-home player or fiber-to-the-home utility. We are very close to completing the deployment with the city. I'd say, fortunately, between Irby, Bolivar and Tantalus, it's providing us with a terrific case study that will run through over each channel far and wide across the U.S. I think things have gone well, and we continue to make progress. I think we continue to have an individual swim lane to chase after those utilities. We are evaluating how we leverage additional channel partners that really specialize on the broadband side, Daniel, as a force multiplier to what the good progress that Irby is already making on our behalf.
Daniel Rosenberg: Then outside of that use case, I was curious about any competitive changes to the landscape, anything you're seeing on pricing or go-to-market? Anything you could share there?
Peter Londa: As it relates to the TRUSense Gateway, we have not seen a change in the competitive landscape, fortunately. I think continuing to validate our first-mover advantage and the opportunity in front of us. We have seen a few of our -- a few of the metering vendors some who we partner with today and also compete with, we have seen how they are trying to present their latest metering platform referred to as AMI 2.0 by a few vendors as an alternative to TRUSense Gateway. I think the distinguishing factor there is the TRUSense Gateway isn't about ripping and replacing all existing meters. It's about supplementing what's already in the field and then extrapolating data from a very specific location and area. The AMI 2.0 strategy requires a rip and replace of all meters or certainly meters in a specific area. It's not a one-to-one comparison, but we have seen some of that surface as it relates to the TRUSense Gateway. As it relates to pricing, we've seen vendors take some different approaches as it relates to tariffs. some just bundling it into their pricing and presenting a higher price that includes the tariff, some line iteming it out for transparency the way we have done to date. I think that's still case-by-case and company-by-company. We've seen a vendor that we think is a little bit further behind in technology, try to get more aggressive in pricing to secure business. That's not uncommon in our sector, and it's not uncommon in periods of time. I'd say nothing there that's surprising or changes the landscape for us.
Daniel Rosenberg: Then just my last question. It seems like the software portion of the business is performing well. Your recurring numbers are up, and it seems to be having an impact on the margin profile. I was just wondering, as you think about '26, change your thinking in terms of what's the potential of this business in terms of gross margin?
Peter Londa: Yes. As the TRUSense Gateway rolls out, Daniel, upfront, utilities are -- the model that we have today is utilities pay upfront for the connected device. They pay for a software license and then that software license kicks in the 22% annual maintenance on that software license. It starts at month 13 and continues as long as the device is in the field. Given the list price and the pricing of the TRUSense Gateway, I think aggregate dollars for software and service will increase. When we think about the life 12 to 15 years of a TRUSense Gateway being in the field, your first year, 1.5 years, it's heavily weighted to the hardware, the connected device because of how expensive it is or the price point. Then as years go on, that recurring revenue is collected every year, and so on a blended basis, your gross profit margin has upside. In the near term, as we roll out the TRUSense Gateway, the aggregate dollars, revenue, gross profit, revenue from software and services will go up. I could see margin compression in the aggregate because, right, the upfront dollar spend on the TRUSense Gateway is the purchase of the device, plus that initial software license. The percentage allocation and the contribution percentage is different. Does it make sense? I think long term, as we think about -- yes, as we think about gross profit over the life of a device, I think there is upside from where we are. In the near term, I actually think there may be some adjustment because the next 12 months, we're going to sell a lot of connected devices as we get TRUSense Gateways activated, and the connected device does not have the same margin profile as the software license itself. Aggregate dollars will go up, and I think that's where we're more focused. Then as we price things out and think about our return, what's the aggregate gross profit margin over the life of the device, and that's where I think there's upside. I hope that makes sense.
Operator: Then we have a follow-up question from Gianluca Tucci from Haywood Securities.
Gianluca Tucci: Pete, just last one from my end here on M&A. Tantalus has been quiet on M&A now for a couple of years. Just curious if there's anything that you're seeing out there that makes sense from a technical perspective as your valuation in the market improves.
Peter Londa: Yes, you bet, Gianluca. Our focus has and continues to be executing on the organic growth that's in front of us and ensuring that we do our best not to disrupt the team from the task at hand, especially as we activate the commercialization of the TRUSense Gateway. I think as we turn the page into 2026 and start to have increasing levels of confidence in that commercialization, it will free up time for members of the executive management team. I think to put our heads up, Gianluca, and start to think about how we potentially accelerate that grid modernization journey strategy that we have, either through additional R&D organically and/or through some targeted M&A. I'd say there are -- in our sector, there are some smaller organizations that continue to make good progress, but may not necessarily have balance sheet, the investor base or the sales channel to really scale. I think as we start to get into 2026, and can free up some time from the task at hand on the TRUSense Gateway. It should afford itself to potentially start to think a little bit more broadly and contemplate another targeted transaction similar to what we did with Congruitive.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Peter Londa, President and CEO, for closing remarks.
Peter Londa: I'd just say, well, Azim and to the finance team, thanks for all of the hard work to get organized for our quarterly results to the broader team Tantalus truly, truly appreciate the hard work at both the individual and team level. For our shareholders, we appreciate the continued support and patience as we activate and continue to scale the company. I'd say, based on the first 9 months of 2025, we really stand in a great position to have a historic year for our company. I appreciate everyone's time and attention today and continued interest in Tantalus. To the extent there are further questions or interest in additional information about our company and/or our financial results, please visit the Investor landing page on our website at www.tantalus.com. Operator, thanks for support today. I hope everyone has a good balance of the day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.